Operator: Greetings, and welcome to the Varonis' Second Quarter 2017 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Yun Kim, Director of Investor Relations for Varonis. Thank you, Mr. Kim, you may begin.
Yun Kim: Thank you, Doug. Good afternoon. Thank you for joining us today to review Varonis' second quarter 2017 financial results. With me on the call today are Yaki Faitelson, Chief Executive Officer; and Guy Melamed, Chief Financial Officer. After preliminary remarks, we will open up the call to a question-and-answer session. During this call, we may make statements related to our business that would be considered forward-looking statements under federal securities laws, including projections of future operating results for our third quarter and fiscal year ending December 31, 2017. Actual results may differ materially from those set forth in such statements. Important factors such as risks associated with anticipated growth in our addressable market; competitive factors, including increased sales cycle time; changes in the competitive environment, pricing changes and increased competition; the risk that we may not be able to attract or retain employees, including sales personnel and engineers; general economic and industry conditions, including expenditure trends for data security solutions; risk associated with the closing of large transactions, including our ability to close large transactions consistently on a quarterly basis; our ability to build and expand our direct sales efforts and reseller distribution channels; new product introductions and our ability to develop and deliver innovative products; risks associated with international operations; and our ability to provide high quality services and support offerings could cause actual results to differ materially from those contained in forward-looking statements. These factors are addressed in the earnings press release that we issued today under the section captioned forward-looking statements, and these and other important risk factors are described more fully in our reports filed with the Securities and Exchange Commission. We encourage all investors to read our SEC filings. These statements reflect our views only as of today and should not be relied upon as representing our views as of any subsequent date. Varonis expressly disclaims any application or undertaking to release publicly any updates or revisions to any forward-looking statements made herein. Additionally, non-GAAP financial measures will be discussed on this conference call. A reconciliation to the most directly comparable GAAP financial measures is also available in our second quarter 2017 earnings press release, which can be found at www.varonis.com in the Investor Relations section. Also, please note that a webcast of today's call will be available on our website in the Investor Relations section. With that, I'd like to turn the call over to our Chief Executive Officer, Yaki Faitelson. Yaki?
Yaki Faitelson: Thanks Yun. We're very pleased to welcome Yun, our Director of Investor Relations. Good afternoon, everyone, Q2 was another strong quarter for Varonis, the license revenues increasing 31% year-over-year to $28.4 million in total revenues increasing 30% year-over-year to $50.2 million. We continue to experience strong demand drivers for our business and are executing well on our key goals of increasing awareness and adoption of our solutions, more effectively targeting companies with 1,000 or more employees with larger customer lifetime values, and innovating to expand the value we deliver to our customers and extend now differentiation. I need to look further the ransomware attack is [indiscernible] to know that organizations large and smaller exposed, files and e-mails are most at risk and often breached because they are high value assets and usually vulnerable to misuse by insiders and outsiders that breach the perimeter. Varonis state a security platform not only protects enterprise data from cyber-attacks, but also from insider thereat and data breaches. Our platform analyze content, accessibility of data and then behavior of the people and machine that access data to alert on misbehavior, enforce list privileged model and automate data management functions. DatAlert continue to be an important arrival for our business and hook for vision, our message in our operational approach to security, detect, prevent and sustain. As you know DatAlert is one of the newer products in many customers have only had it for short time still a recent survey with TechValidate show that approximately 80% of respondent have detected critical security issues with DatAlert, such as ransomware, hijacked accounts, employees stealing data, and administrators violating policy. I'll illustrate two things; one, the dangerous threat that we detect across frequently; and two the DatAlert is very effective at detecting and stopping them. In Q2, we saw two very high profile attacks that illustrates how vulnerable organizations are. By combining ransomware with sophisticated exploits want to [indiscernible] spread quickly, and damage many systems and compromised file too much critical data when we file, we protect the data stored in this score system, when transformed malware will get to the perimeter and end point protection, Varonis is there is a critical layer of defense, not only for stopping ransomware, but for addressing any threat to core data. New customer, the worldwide leader in automotive safety systems, purchase DatAlert during the second quarter and the rate of IT security code, in the wide range of fast growing security product only a few suppliers meet the high expectations and innovation as well proven technology tactical. We have been invested in Varonis tool as they will bring us much higher visibility and control for the usage of our active direct to landscape. Government customer added DatAlert to the DatAdvantage purchase because they need to improve money going for compliance regulation and after a large data move since the fold of found to be more open than design. The customer stated in a quote the amount of PII and PCI data was an eye opener. They also said the DatAlert is providing the most valuable alerts of all the security technologies they have invested in, and DatAlert save the security teams, hours per week money towing and searching for anomalous behavior against the data. This government agency is a great example of how combination of regulatory requirements and overall risk reduction remains a key driver for business. More organization realized they need to protect data, and knowing will the important data is help prioritize the remediation effort. This combined with DatAlert ability to alert on unusual access to sensitive data is driving demand to our platform and product like the data specification from hook. In the second quarter an existing customer Lame County in Oregon added DCF data advantage installation to identify manage the regulatory compliance requirement and help mitigate future risk by having the ability to identify sensitive data in various location. We believe DCF is going to discovery capabilities along with our data security platform fit squarely with approaching GDPR regulation. We continue to expect GDPR will be a tail wind to our business as we move to the second half of 2017, June 2017. We are seeing increased interest because what said of stakeholders outside of usual buyers including legal, provision and protection office. As we said before, we expect GDPR adoption to have a long tail and we believe that we are well positioned to capture the opportunity as it build. As we continue to build out our platform, we are expanding our addressable market. The recently released Varonis Automation Engine had accelerated the remediation to offering by automatically finding and fixing some of the most dangerous file system security issues so that you are less vulnerable to attacks more compliant and sustainably enforcing at least privilege model. In demand or so the Automation Engine has been in the market the initial interest has been strong and it is a natural feet with conversation we are having with new existing customers. Customers understand that we are elevating the value of product deliver and we are extending the total customer lifetime value. We are also seeing interest with Data Advantage for cloud platforms including Office 365, [indiscernible] online exchange in line. As we see organization shift aspects of the infrastructure to the cloud, our compatibility with the cloud is an important part of our offering now experience with on premises data stores has help us deliver our solutions for cloud data store. Our customers understand the value that our data security platform also and their answers to extend its coverage to the cloud. Our ability to capture market opportunity created from the height and data breach environment for security and regulatory compliance along with our investment in our platform and go to market is enabling us to successfully execute our line and expense strategy. During the second quarter we added 254 new customers bringing a total customer count approximately 5,750. And these new customers continue to increase their initial commitment 45% of our license and pursue maintenance came from existing customers up from 41% in the year ago period. In addition, 50% of our customers and two or more product family when you look at our total number of customers, the customers that we are targeting 82 up selling courses are continuing investment and focus on innovation to drive use cases in the maturing sales team, we believe we are putting the right investment in place to build our business to reach a $0.5 billion and then $1 billion in sale, and we will continue to do so while driving scale. With that I will turn the call to our CFO, Guy Melamed. Guy?
Guy Melamed: Thanks Yaki, and good afternoon everyone. I'll begin by reviewing the quarterly results and then I will discuss our outlook for Q3 and the full year 2017. Total revenues for Q2 were strong at $50.2 million, an increase of 30% year-over-year and above our guidance. License revenues were $28.4 million. This represents a 31% increase from Q2 2016. Our maintenance and service revenues were $21.8 million increasing 29% compared to the same period last year. These results were supported by our consistently high maintenance renewal rate, which again came in at over 90%. Looking at the business geographically, U.S. revenues increased 36% to $33.1 million or 66% of total revenues. EMEA revenues were 28% of total revenues or $13.9 million, an increase of 17%, Rest of World revenues increased to $3.2 million or 29% which is 6% of total revenues. To the second quarter existing customer license and first year maintenance revenue contribution was 45% up considerably from 41% in Q2 2016. We maintain our focus on expanding our relationship with existing customers as well as increasing the number of new customers. During the quarter, we added 254 customers compared to 285 new customers in Q2 2016. We are pleased to see our new customers again making larger initial commitments to us as we continue to focus on attracting companies with 1000 or more employees. As of June 30, 2017, 50% of our customers had two or more product families up from 46% as of June 30, 2016. This positive trend validates the success of our innovation to our data security platform together with our growing customer lifetime value; it also illustrates the significant opportunity we still have to sell to our existing customer base. Before moving on to the profit and loss items, I would like to point out that I'll be discussing non-GAAP results going forward, unless otherwise stated. For Q2 2017 that excludes a total of $5.3 million in stock based compensation expense, and $199,000 of payroll tax expense related to stock based compensation. Please note that a detailed GAAP to non-GAAP reconciliation can be found in the tables of our press release, which is available on our website. Gross profit for the second quarter was $45.6 million representing a gross margin of 90.8% consistent with the gross margin in Q2 2016. Turning to the operating expenses. During the second quarter, we made investments in the business, which among others included increased focus on maturing our sales and marketing teams in Europe to drive growth, as well as ongoing support of our growth in the U.S. In R&D we're focused on increased our strategic investment to both enhanced our value to our customers and enable deliver of additional products and features, extending our security data analytics platform in order to widen our differentiation and expand the use cases and value of for our customers. Operating expenses total $45.5 million in the second quarter compared to $37.2 million last year, an increase of 22%. Our success in driving growth and realizing leverage in line with our strategy resulted in a significant improvement in our margins moving from negative 5.5% in Q2 2016 to positive 0.2% in Q2 2017. As you know foreign exchange gains and loss can fluctuate. During the quarter we had financial income of $950,000 compared to financial expense of $605,000 in Q2 2016 primarily due to foreign exchange gains this quarter. Our guidance does not consider any additional potential impact to financial and other income and expense associated with foreign exchange gains or losses as we do not estimate movement in foreign currency rate. Net income was $400,000 for the second quarter of 2017 or $0.01 per diluted share, compared to a net loss of $3 million or a loss of $0.12 per basic and diluted share for the second quarter of 2016. This is based on $30.5 million diluted common shares outstanding for Q2 2017 and $26.3 million basic and diluted common shares outstanding for Q2 2016. Looking at the balance sheet we ended our quarter with approximately $121.6 million in cash, cash equivalents and short term investments. During the first six months of 2017, we generated positive operating cash flow of $7.4 million compared with $2.3 million in the first six months of 2016. We ended the quarter with 1,171 employees and 18% increase from 996 at the end of the second quarter of 2016. In comparison to the prior quarter, we added 23 net additional employees. We have continued to increase our headcount to grow the business and realize productivity improvement as we scale. Moving to guidance. For the third quarter of 2017, we expect total revenues of $50 million to $50.8 million. We expect our non-GAAP operating income to range between $100,000 and $500,000 and non-GAAP loss per basic and diluted share of $0.01 to $0.00. This assumes the tax provision of $450,000 to $650,000 and $27.5 million basic and diluted common shares outstanding. For the full year 2017, we are again raising both our revenue and profit guidance. We now expect total revenues in the range of $205 million to $207 million representing year-over-year growth of approximately 25% to 26%. We expect our non-GAAP operating income to be in the range of $2.7 million to $3.7 million and non-GAAP net income per diluted share of $0.07 to $0.09. This assumes the tax provision of $1.9 million to $2.3 million and $30.5 million diluted common shares outstanding. We also continue to expect to generate positive cash flow from operations for 2017. In closing, we are pleased with our performance in Q2 and with a growing market awareness and adoption of our products. We believe that the investments in our business are paying off as evidenced by the improved Q2 cash flow of operation, positive trends in our customer satisfaction metrics, and the continued leverage in the business, enabling us to not only increase our revenue guidance, but also increase our non-GAAP profit guidance for the 2017 year. With that we'll be happy to take questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes on the line of John DiFucci from Jefferies. Please proceed with your question.
John DiFucci: Thank you. I think this question is probably for both Guy and Yaki, and then I'll have a follow up, which you probably be more for Yaki, but listen this quarter nice growth and execution on the part of your team, one of the things in this quarter that sort of made us look again, and it was you're also demonstrating the leverage in this model, in both earnings, but even more importantly in cash flow. I guess given what seems like an outsized opportunity here, can you just refresh us or talk a little bit about your philosophy regarding the balance between growth and profit going forward?
Yaki Faitelson: Hi John, it's Yaki. You know the philosophy was always to improve - just improve the economics of the business gradually, it's an enormous market opportunity, we're virtually alone and we end the company possible for long time. So we went upfront investment and then we sell more licenses and we are very [indiscernible] just comes, you know it's scale growing the business selling more licenses and the profitability just going hand in hand in our business. So we're really doing exactly what we said that we will do. You know we put some upfront investment, we have a good coverage in a very methodical way we are increasing sales capacity, very good linen expand, we are going up market, because the market is coming to us, and this is really what you see in the overall profitability KPI. But this is exactly what we say that we will do. It's the part of the model when you scale that the business you sell more licenses your profitability is to some extend is almost should in sometimes we're doing upfront investment in just increasing the sales force and the engineering in a very meticulous way, and we have just ROI analysis on everything that we are doing and this is exactly part of the plan.
Guy Melamed: And John to add on that, this is Guy, in this quarter we flew down from approximately 70% to the bottom line, and like Yaki said, we're extremely focused on both growing market share, but also in the bottom line, and with the earning power we have in the model, we're really the opportunity is out there for us to increase market share, bring in new logos, but also up sell and cross sell to the existing customer base and that's exactly what we're doing.
John DiFucci: Well, it's working nicely and then my follow up really has something to do with that in the existing base and expansion that land and expand. And you've pointed out that the percentage of license and for sure maintenance from the existing customers jump to I think 55%, it was in the 40s so last four quarters before that in the 30s. And the number of customers is growing nicely, but the number of new customers sign to the quarter has been coming down a bit, and I mean to kick on something, because frankly these results look really good, and they continue to be really strong here, everything seems to be working well. But are there things you can do to improve the land part of the strategy, because expand is working really well, but do I have that wrong, I mean should I just assume that going forward you just get more and more from your existing customers along as you continue to had a good number of new customers things should be fine, how should I be thinking about that?
Yaki Faitelson: Yes, all company we went up market, what happened is that our sales campaigns just became so much more predictable and the numbers that not telling the story, because if you look at our customer of 2000 and customers we have very strong growth there. And the other thing we bought so many customers in the last two years, and we have so many skews to sell them we also see big uptick in this ability of the product, so our sales people need to cater to debate our marketing team is doing a very, very good job and there is an effort economy. How much time you spend and what you get in return, and you see how everything is working. So from our point of view we see very good market expansion in the 1000 and in many 2000 and above this is working, this is exactly our strategy and 254 customers it's a lot of customers and these are the right customers, the right side and will be right in this.
Guy Melamed: And just add to that John, the aggregate sales that came from new customers this quarter was greater than the aggregate sales to new customers in Q2 2016. So it's in line with our strategy, and we're extremely happy with that.
John DiFucci: Okay, so it's actually your new customers are actually larger customers, are they're able to spend more on Varonis. This is nice job here guys, this is nice. Thank you.
Guy Melamed: Thank you.
Operator: Our next question comes from the line of Matt Hedberg from RBC Capital Markets. Please proceed with your question.
Matt Hedberg: Hey guys, thanks for taking my questions. First one is about new automation engine interest appears quite strong, I know it's still early Yaki, but could you talk about the potential uplift to customer spend, if it's cross sold into a customer, I guess theoretically could you see the same uplift that you're seeing when data alert is cross sold?
Yaki Faitelson: I don't want to compare it to, but it really doing two things, one is security analytics, just to make sure that if there is anything bad is happening in the other one is remediation, and remediation something that is very hard, but the world is going in just reduction of risk, making sure that the right people will access their data it just most important component, and it just automates the whole process, and you can quantify the ROI, so we believe that it has a massive potential on all the platform like with DatAlert, everything takes time, but the initial interest is great and we'll bullish by this opportunity.
Matt Hedberg: That's great. And then maybe as a follow up. U.S. growth was quite impressive, I believe I heard it was 36%. I think Europe grew little bit slower, is that largely a function of just the size of the U.S. market where you're diverting most of your spend, just when Rest of World grew a little bit faster than Europe, just kind of trying to get a sense for geographic growth rates?
Yaki Faitelson: Yeah, Europe is a very, very good market for us. You need to understand that we are very measured with the way that we're investing in the business and in the last two years just maturity in the U.S. market was extremely good for us, so after the all day trade spending in security, everything came to us, it was very thoughtful process in the U.S. just people understand that recognized brand, it just it's a top priority, and we invested more in sales capacity here, that in Europe is really we put a good leadership in the UK, now we hire someone the right person in Germany, and now under these people we are increasing capacity. We also starting to see the initial same trend that we saw in the U.S., we're starting to see in Europe. Don't forget Matt that we really build this market. So deposit of interest into demand, into revenues very familiar to us and we know very well how to, we know very well how to analyze it, and if you look up the prices walking, the sales cycles we run them, the predictability of sales cycles in Europe, it's very good in the first half of the year is 21% and we believe Europe can be very strong going and very strong contributor for us. We have long history in the region and we know very well how to operate, we also have the foundation to scale effectively. We want always to scale in the most effective way, so firstly really the upfront investment and then capacity and we believe that the investment will come to fruition.
Matt Hedberg: Great, thanks Yaki, super helpful. Congrats again on the results.
Yaki Faitelson: Thank you.
Operator: Our next question comes from the line of Melissa Gorham from Morgan Stanley. Please proceed with your question.
Melissa Gorham: Great, thank you for taking my question. So Yaki, DatAlert obviously is a product that's going well for you all, but I'm wondering if you could provide any additional metrics in or around how penetrated that solution is within your customer base and just trying to get you an idea of how much more runway you have in terms of selling out into the existing days.
Yaki Faitelson: We're not giving these metrics, but we you know there is a lot of meat on the bone. We can do so much with this product, but it just not only DatAlert, it's everything, DatAlert in a sense of the no touch value, that coming in, what happen is Melissa, if you look at this all of this really this is what is happening, and I think that's something that is very, very important to understand. If you have like a line in the sense there are perimeter security the thing of getting but once the getting and you see how often they get in. We have the best solution that you can have these very sophisticated delivered and everything related to remediation. So the events and the way that everything is working very well for us. The other thing is DatAlert once you've seen, it's pulled a lot of additional Data Advantage and Data Classification Framework and other products and help a lot with the cloud. So it's not just the DatAlert once DatAlert is in, it's much easier for us to sale the additional platform. So it's really it's takes a life to fix on to some degree.
Melissa Gorham: Okay. That's helpful. And question for Guy, so you've been able to sustain 30% plus growth year-to-date on license revenue, but and I'm looking at guidance for the full year, it does assume a deceleration in the second half of the year. Aside from just typical conservatism is there anything to that would drive that magnitude of deceleration?
Guy Melamed: So this is the second quarter that we beater raise so we obviously feel extremely confident about the business and we feel very strong about the second half of the year. The philosophy of our guidance hasn't changed, we want to guide in a very responsible way and we do feel very strong about the business.
Melissa Gorham: Okay. Thank you so much.
Guy Melamed: Thank you.
Operator: Our next question comes from the line of Greg McDowell from JMP. Securities. Please proceed with your question.
Greg McDowell: Oh, great. Thank you very much, and I apologize if this is already been asked on timing in a little late here. But I was wonder if you could give us some commentary on the geographical performance I just noticed that there is quite the acceleration in Rest of World year-over-year revenue out there is deceleration and in EMEA and I was just hoping you can give us a little more color on sort of what transpired in those geographies? And then have one follow up.
Yaki Faitelson: Hi, Greg, it's Yaki. I just mentioned it before when the market in the U.S. became much more mature, more investment in capacity and in marketing were here. And what we have done we perform well totally we are performing very, very well in Europe. So what we did really put the right management in place invested very gradually in the right teams and now we are accelerating these investments and behind very strong infrastructure, very strong channel infrastructure and a very strong management. But when the market presented itself in such a way here, we put more investment in the U.S. make sure the infrastructure is there in Europe and now we are investing and we have we strongly believe that Europe can perform very well for us for a long time. The price works very well, the sales cycles are working very well. Then extend works very well we just need to increase EBITDA volume in term of the Rest of the World it is small region for us. And in the U.S. the market is really prime here and there is so much opportunity in this so much understanding of what we do, a lot of recognition of a lot of recognition of the brand, good ability to do a large deal - good ability to do large deals with the smaller customers. So we're really pleased with the investment what we did across all the region and we are very way that the external conditions of the markets are playing up.
Greg McDowell: That's helpful. Thank you and I apologize, if you had to answer that same question twice. I guess one follow-up is just on the on the cross sell it certainly one product were product cycle we're going to be tracking is automation engine and I know it's the DataAlert product cycle certainly exceeded our initial expectation. And I was just wondering if you could comment and I know it's a very new product still, but if you could just comment on sort of the level of excitement for the for the automation engine product compared to this level of excitement for DataAlert at similar stages in the product cycle? Thanks.
Yaki Faitelson: I'm not an excitement expert. But…
Greg McDowell: You're not?
Yaki Faitelson: But there is definitely a lot of massive interest in the automation engine, because all of our customers remediation is in the call of a - what we were doing the data work well even with DataAlert it took before it really [indiscernible] but we believe the bill is too many of opportunity is two minutes opportunity with the automation engine and we also believe that our customers that the understand to fulfill the value that everybody expects.
Greg McDowell: Great. Thanks, Yaki. Thanks everybody.
Yaki Faitelson: Thank you.
Operator: Our next question comes from the line of Gur Talpaz from Stifel. Please proceed with your question.
Gur Talpaz: Okay. Thanks for taking my questions. So Yaki, I was hoping you could talk about your push up stream here. You know this thing greater traction with organization with that with more than 2000 users. Can you give us some color with regard to what's driving that is it better understanding of security used cases and then I guess going forward how do you think about the balance of your high velocity sales model with this pushup stream?
Yaki Faitelson:
.: And what happen is that this we're starting to have simpler sales people and at a much more strategic with security officers, we CIO, so we can go to these organizations and know that we have when we demonstrate value in the right way we've high probability to win do in the business. And we still it's not that we are going to be monsters organization a lot of the focus is 2000 to 20,000 user shops and even in more than 1000 is one we are doing very nice deals, larger deal in smaller user accounts which is very, very exciting. And it's still it is still very it's still transactional. Sales people becoming much more productive with less user accounts and more targeted approach and there's a market we believe the market is keep coming to us and this eventually will become a mainstream so we will be able to do more with the smaller territories for sales people. So this is really what you see and understanding of the value, see and we are sending sometimes more skews or we penetrating smaller and then we are expanding within the organization. And you see a security landscape that this is one of the most high value offering that you can have, if you want to be protected, if you want to make sure that your unstructured data is protected, your active directory is protected, big part of your critical infrastructure and to do it with the fine entry resources that you have an IT unit Varonis.
Gur Talpaz: That's helpful, Yaki. And then you touched upon GDPR prepared remarks. For me what would you help us here is could you talk about what you're seeing in terms of planning on the part of a customers and more importantly partners in Europe? Thank you.
Yaki Faitelson: What I think about GDPR, first I think that if we said before it's very important to understand because we really build this market. We have very good senses regarding the way sometimes something generate noise and then there is interest and then it's generally demand in many times late into sales. And what we see with GDPR everybody talking about it and each and everybody saying we can do things for GDPR out. But when you look at it you look at what you need to attack and you understand where we need to be security and how we demonstrated. The biggest risk and much need to do first and Varonis we believe going to benefit for me in a big way, but it just the poses, what we see now for sale out of noise, now what we see is just people calling us to come to the table and in the table we see different stakeholders. We see legal people and we see CEOs. And we are expanding our core offering not something else understand they need to do it in more in POCs that have very visible to the business side. And we believe that this pipeline together we the fact that GDPR it will come into effect will gradually generate a lot of demand for us. But we saw this movie before, it takes time, but eventually like you see in the U.S. most time it really translate into demand and really a secular trend tail wind that's stays with you and you can really capitalize on and reducing friction in the sales motion and elevating the overall value of the offering.
Gur Talpaz: That's helpful, Yaki. Thank you very much.
Yaki Faitelson: Thank you.
Operator: Our next question comes from the line of Michael Kim with Imperial Capital. Please proceed with your question.
Michael Kim: Good afternoon guys. Just specifically regards to ransomware some of the high profile tax [indiscernible] did you see an escalation inbound queries and activities around POCs and just a general characterizations process it attacks?
Yaki Faitelson: Yeah, we definitely see, we definitely see a lot of interest, but what we see that is much more exciting for us, when you have these attacks again you have a lot of noise everybody talking about it, but now what we see few weeks after this thoughtful process this is generating. You know people looking even saying, I have my perimeter security, this thinking coming, once they come in and need to remediate this scope of the risk to make sure that you know I took your credentials, you can do a lot of damage, and I want to detect it, and to detect if fast, and to make sure to understand what is the original user and the machine this scope of damage but it is in the call to action, and this works extremely well for us. Deposit that is generate, the awareness not just for this any panic spent just the overall understanding that there is one fixing I need to treat it completely different and I need to invest in the right way and I need to look at remediation this is something that we this is what will the market for us, so this in GDPR and many other things just create the network of the market and they are strong.
Michael Kim: Great. And then just switching gears on the government vertical as you see an opportunity in the federal side was working with some of the system integrators and other partners, and how you see that training in federal fiscal year and in September?
Yaki Faitelson: We invested a lot in federal, and we believe that our product offering is extremely valuable for the federal government. We enter this quarter with good pipeline and believe that we have very strong potential.
Michael Kim: Are you seeing any contract awards in the fiscal year?
Yaki Faitelson: Say again.
Michael Kim: Are you assuming some significant contract awards this year?
Yaki Faitelson: We think that the team will perform very well.
Michael Kim: Great, thank you very much.
Operator: [Operator Instructions] Our next question comes from the line of Srini Nandury from Summit Redstone Partners. Please proceed with your question.
Srini Nandury: All right thank you for taking my question. Yaki, can you talk about cannibalizations you're having in AVR, EMEA for some reasons it's little lumpy last quarter you had nice security this quarter, it's 17% relatively underperformed your overall growth what work and what did not NGO of what working in EMEA please. And I have a follow up.
Yaki Faitelson: You always need to take a multi-quarter view, and as I just it was sales cycles and the way that we invested in sales capacity, look at the quality of the deals in the capacity that we have the overall we are pleased with the performance of the region and we believe that in the next few quarters it will start to work very well for us.
Srini Nandury: All right. My next question is on the sales cycle event, I know you've touched on this on the call little bit, you've been analyzing we're in a solution for last two or three years you know net of the large customers if you take out our large customers which you guys focused our last year or so, can you talk about sales cycles in general I think compressing and what are you seeing in the general trends? Thank you.
Yaki Faitelson: And we see the sales cycle you know they stay relatively the same what we see that much higher probability to win. When you're coming in, if you brining the right syllable people to the room and you demonstrate the value in the right way, it's very, very hard to ignore - very hard to ignore the fact that you need a solution and you need it relatively fast. It's still an enterprise sale, it takes time and in the budgets, but the budget other people understand that this is something that they need. The market is coming for us, and we have a very good ability to win a larger customer and much more importantly to win then just to make sure they are buying more for a long time.
Srini Nandury: Thank you.
Operator: There are no other questions in queue. I'd like to hand the call back over to management for closing comments.
Yaki Faitelson: Before we end the call, I would like to thank all of our employees for their contribution to our success this past quarter and all of our customers and partners for their continued support. Thank you so much for joining us today, and we're looking forward to speaking again soon.
Operator: Ladies and gentlemen this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time. And have a wonderful day.